Operator: [Foreign Language]. Good afternoon, and welcome to the Conference Call organized by Vidrala to present its 2025 First Quarter Results. Vidrala will be represented in this meeting by Raul Gomez, CEO; Inigo Mendieta, Corporate Finance Director; and Unai Alvarez, Investor Relations. The presentation will be held in English. In the Q&A session, questions will be also answered in Spanish. Nevertheless, it is strongly recommended to post questions in English, in order to facilitate understanding of everyone. In the company website, www.vidrala.com. You will find, available a presentation that will be used as a parting material to cover this call, as well as a link to access the webcast. Mr. Alvarez, you now have the floor.
Unai Alvarez : Good afternoon, everyone, and thanks for joining today's call. As previously announced, Vidrala has released its 2025 first quarter results, along with a presentation that we will use along with a presentation that we will use as a guide during today's session. We will start by reviewing the main figures following the other slides, and afterwards we will open the floor for your questions to discuss business performance more in detail. I now hand over to Inigo, who will explain first quarter key financial highlights.
Iñigo Mendieta: Thank you, Unai. Let's kick off with the headline financials. In the first quarter of 2025, we achieved revenue of EUR372.5 million, EBITDA of EUR104.6 million, net income translating into earnings per share of EUR1.42 and by the end of the March, net debt was EUR289.2 million, implying a leverage ratio of 0.7 times our last 12 months EBITDA. As the anticipated price reductions of approximately EUR0.04, representing a 6.6 decrease at constant currency and like for like scope. As the anticipated price reductions of approximately 4% are already in place, while volumes remain down year and year, partly reflecting a strong comparable base in the first quarter of 2024. Scope effect which include the exclusion of the Italian business had a 4.1 negative impact on sales. Looking at EBITDA in more detail. Applying this in breakdown, first quarter EBITDA reached EUR104.6 million, representing an organic growth of 1.4%, driven by greater diversification and the continuous optimization of our industrial footprint to further enhance our competitiveness. This performance translated into a robust EBITDA margin of 28.1%, marking an improvement of 190 basis points compared to the prior year. Here, we break down sales and EBITDA by business unit based on the current perimeter, meaning the Italian business is fully excluded from last year figures. As previously mentioned, we are seeing the expected price reductions across all regions, but the anticipated moderate recovery in volumes has yet to materialize, with Brazil being additionally impacted by negative currency effects. However, margins across all regions remain strong, reflecting the internal actions taken. And finally, turning to our balance sheet. Net debt stood at EUR289.2 million, with leverage at 0.7 times the last 12 months' EBITDA. This solid financial standing puts us in a strong position to invest further enhance our competitiveness and explore potential opportunities while maintaining a prudent financial stance. And now, before we open the floor for questions, I'll hand over to Raul, who will recap the key points and share business perspectives for the full year.
Raúl Gómez: Thank you, Inigo, thank you, Unai, and thank you all on this call for attending this call today. Well, our results published today are probably a good evidence of the global context we are seeing and also of the business we have created. This is the world we are living much more challenging and much more uncertain than we thought and this is also how solidly our business is reacting, better prepared and stronger than ever, a result of many strategic and management actions. Indeed, our profitability in the first quarter of this year stayed under original level of control, and our competitiveness remained broadly solid. At levels that I do consider should enable us to capture any recovery, any opportunity to grow if it happens. And these are the grounds why, despite the demand is evidently still quite softer than initially expected. And also, despite the macro uncertainties are rising, this is the grounds why we are today reiterating that our business is safe, providing an outlook for the full year that in conclusion, in the end, reflects guidance of similar but slightly better EBITDA and free cash flow levels for this year 2025 versus the prior year. And this could be seen as nothing extraordinary, but it's not a small thing for us. As let me remember, last year was a big year for us, a year of big change and relevant improvement. In the end, in my conclusion, what we want to share with you today is that the business in the short-term is under a reasonable level of control, and this is despite the many challenges, the many difficulties that we are seeing here. This level of comfort, this starting point, will help us remain adaptive, looking forward to the future, trying to anticipate trends with a clear vision and a road map. A road map is tightly tied to our long-term principles, customer, cost and capital. We repeat this to ourselves every day. That means that we will execute internal actions to improve our competitiveness. We will stay dynamic to capture opportunities, to analyze potential opportunities, and we aim to keep on investing more than in the past with our customer in mind to make our business stronger looking ahead to the future. And we will do it always with this decline, staying at reasonable low level of debts for a while. Thank you.
Unai Alvarez: That concludes our initial remarks. Let's turn to the Q&A session.
Operator: Ladies and gentlemen, the Q&A session starts now. [Operator Instructions]. And our first question comes from the line of Francisco Ruiz Martin from BNP Paribas. Please go ahead.
Francisco Ruiz: I have two questions, three questions. And the first one is, if you could be a little bit more or give a little bit more detail on why cost has been so outstanding this quarter, with a drop of around 10%. And I'm following this, Nelly, if you are still thinking that your sales volume for the year is going to be something between, I don't know, flat to slightly grow, which as you guided in Q4. With cost, I don't know if it's going to be 10% for the year, but it's still outperforming last year. It looks like the EUR450 million of your guidance should be understood as a floor. So, I don't know what's wrong with my calculation, but it looks like a conservative figure. The second question is on the supply situation in Europe. Further to the cuts that we saw last year, one of your main competitors has announced another two closures in France. Do you think that the current situation in terms of supply, thinking that the volumes will be flat or slightly growing, it's okay right now? There is still an oversupply situation that could be solved with further closures? And last but not least, you mentioned that your next step in terms of M&A and acquisition is going to be Latin America. Would you be interested in a country like Argentina, or is it something that you discard from the very beginning? Thank you.
Raúl Gómez: Thank you, Francisco. Interesting and not surprising questions. First, regarding cost, what we have been saying over the last couple of quarters, you probably remember, is that we think that we are making a stronger business. We are investing more, very selectively. That means that we are also divesting to improve our cost competitiveness. So, I will say that understanding the normal reasonable level of volatility in our cost and our business, I would say that the cost levels that we are reaching are something that at minimum is sustainable. Yes, it's true. We are becoming more cost competitive than in the past. This is just a result of our deliberate strategic investment and management actions. Second point, very related with the first, is regarding the competitive landscape we are seeing in Europe. We are aware of a process of some capacity rationalization that is happening most of the cases far from our market of sales. We are not the cause of this. The cause of this is that the demand is lower than initially expected. Probably you will agree with me that the demand context has changed quite a lot. Suddenly, in just two years, our narrative across the packaging for the consumer industry was quite different only two years ago. What we are seeing today is probably a process of rationalization that is only closing the gap of pre-existing overcapacity. I don't think that the process is still over, and you can be sure that we will try to maximize our competitive levels as much as possible. Last question regarding M&A, in this point, our approach and our narrative remains the same. We are always looking for ways to grow the business. That we are trying to create a platform for free-to-growth in Brazil, basically in South America. We are today analyzing quite a number of potential opportunities. I will say that a bigger number than usual. This is maybe positive for how you see us because at least let me clarify that explains that we are dynamic. We are focused on securing the business as it is today, and there are much more challenging, demand context or macro context, but we are also trying to dedicate a portion of our time to look at the future and to analyze potential opportunities. So, that probably means that many of the rumors that you could, was seen or you could hear in the future are, some of them are right, but there is nothing more that we could add at this point as you can imagine, okay? The only point is, please keep on mind that whatever we do, in terms of M&A, you want to be significantly surprised, and our debt levels will, in any case, remain at particularly strong levels, low level of debts, strong financial position for a while.
Francisco Ruiz: Just a follow-up. I think you didn't answer the first question or the second part of the first question on purpose on the guidance, but I understand that clearly the $450 million we should understand as a floor under the current situation.
Raúl Gómez: Thank you, Francisco. It's difficult to say. The first quarter of year in reality, has been slightly, slightly, okay, nothing extraordinary, I think slightly worse than expected, in terms of demand conditions for us, okay? And our results for this third quarter is very evidence of this, okay? So, it's difficult to say, is our guidance is conservative or not. We normally don't like to express this type of qualifications, but what I would say is that, our guidance has been calculated after deep conscious internal analysis and under the similar circumstances of prudency and aggressivity that we have always, that we will have always, done. So, if you take a look at our track record, in terms of accomplishing guidance, probably you'll find a conclusion to your answer.
Francisco Ruiz: Okay. Thank you very much.
Operator: Our next question comes from the line of Natasha Brilliant from UBS. Please go ahead.
Natasha Brilliant : Thank you very much for taking my questions. So, you said that the first quarter had been slightly worse than expected, in terms of demand. Can you give us a bit more color, in terms of volume versus price for all of the regions in Q1? And also, an update on what you're seeing, in terms of demand by the different end markets or by region? Just any more color that you can give us on those demand trends. And then, my second question is around the energy pricing. Can you give us some indication of what the pricing was like in Q1? How much is hedged, and what we should think about for the full year, please? Thank you.
Raúl Gómez: Thank you, Natasha. So, on your first question regarding prices volumes, so, at the group level, we are seeing volumes down in the range of 3% for the first quarter, prices down in the range of 4%, as expected probably, and then we have on top of that, the scope and the FX effect, okay? If we take a look by regions, all regions are roughly in this minus 3%, minus 4%, in terms of pricing, again, as expected. And volumes are similar in Iberia and Brazil, slightly down in the range of minus 1%. And volumes in the UK are down minus 5%, 6% in the first quarter, okay? Let's consider also that which is relevant, that volumes in Q1 2024 last year in the UK were growing by 10%, so there is a kind of comparable effect. And then in terms of energy hedging, as always, please remind that more than 50% of our sales are secured through long-term agreements with big customers that include what we name PAFs, Price Adjustment Formulas, that somehow give us visibility in terms of margins. And then, additionally, nearly 70% of our energy exposure is hedged through derivative instruments, which is more than 80% if we exclude video portal that is closely tied to PAFs. And for 2026, around 70% of our position still remains deliberately open.
Natasha Brilliant : Okay, thank you. And just to come back on the demand trend, anything you can say by the different end markets? So, beer versus wine versus spirits, anything on that?
Raúl Gómez: So, by segment performance is quite similar. We are seeing slightly better performance of beers in the first quarter, but probably the first quarter due to calendar effects, due to the Easter period, et cetera, is not very much representative. Okay, probably we will be able to have a better picture on the first half, but beers slightly better than wines.
Natasha Brilliant : Okay. Thank you.
Operator: [Operator Instructions]. And our next question comes from Inigo Egusquiza from Kepler. Please go ahead.
Iñigo Egusquiza: Thank you for taking my questions. I have another two. The first one is a follow-up on the volume strength that you mentioned, Inigo, by regions. I don't know if you can elaborate a bit the minus 1% we have seen in Iberia, especially up to the positive trend that we saw in the last part of 2024. Now to see the volumes again on the negative territory, if there is something else behind the calendar, Easter break last year in March versus this year in April, any reason would be very helpful. And then the second question that I have is on the, Raúl, you mentioned on M&A, a lot of opportunities, but the question is more on the CapEx number that you are giving. I think you put on the presentation that it's going to be intense in 2024, 12% over sales, which seems a bit high compared to what you have been investing over the last 3 years to 5 years. If you can elaborate a bit on the breakdown of this 12% over sales CapEx? Thank you.
Iñigo Mendieta: Thank you, Inigo. So, in terms of volumes for the first quarter and specifically in terms of Iberia, there is nothing specially to worry. Okay? I think proof of that is the guidance we are officially issuing today that, again, probably the year has started slightly weaker than expected in terms of volumes, but we continue to anticipate that 2025 should be a year of modest volume recovery across the group, probably with better prospect in Latin America than in Europe, where we, since the very first start of this year, we're expecting somehow flattish volume contribution for this full year, and this is aligned also with the guidance that we have issued today. In terms of CapEx, as you were mentioning, we are guiding for a 12% CapEx figure in 2025. Obviously, well, obviously, more than half of that is, let's say, pure replacement, following our furnace repair schedule. But obviously, as I was saying, there is an additional effort, okay, focused on many things, I would say, productivity improvements, differential services, as you know, energy efficiency, and vertical integration.
Raúl Gómez: Thank you, Inigo. And just adding up this, we are aware of the fact that our CapEx levels today are higher than in the past and it's something that needs further clarifications of, thank you Unai for giving us the opportunity for us to do this. As Unai said before, the minimal maintenance CapEx in this business, in our business as it is today is probably half the figure we are investing. The other half is improvement, expansionary CapEx, CapEx to capture sales, CapEx to verticalize the business and gain control over the business, to gain control over our future and CapEx to improve cost competitiveness. And you can see that these efforts are paying back. We are seeing the first signs of the results behind these CapEx levels in our cost competitiveness. We will maintain high CapEx levels for a while. At the same time, I do not consider that these CapEx levels are the normal levels in a business like ours to be significantly lower. But I do firmly think and defend the idea that is now the time, the opportunity for us to invest more than usual, as long as our cash profile remains safe. We do have a calendar of, to replace existing facilities. When we need to replace existing facilities, this means that we need to face extraordinary opportunities, and we are trying to take the benefits of these extraordinary opportunities. Let me conclude that we will keep on investing as needed, as much as our margins are under control and as much as our cash profile remains safe.
Iñigo Egusquiza: Okay. Thank you, Raúl and Unai. Just a very quick follow-up. I know that last year, you paid this extraordinary dividend on top of the ordinary dividend, but any reason why you are not announcing the usual annual buyback that you have been doing for the last few years? I don't know if it's because of this higher CapEx or potential M&A or is there any reason for not making a buyback again in 2025? Thank you.
Raúl Gómez: Thank you, Iñigo, for the proposal. Okay. We are obviously analyzing the opportunity always, as we have done in the past, to pay back return cash to our shareholders in any potential deals. But let me say that the reserve buyback is not something that we do consider usual or recurrent is something that we do consider extraordinary depending on business conditions. It's now the time for us to keep calm, to take some time after the many changes that we have seen, say enjoyed over the last 12 months, 14 months. You would agree with me that the macro context is more uncertain than usual. You have heard that saying that our CapEx will be particularly intense this year and we are analyzing, keeping very dynamic potential for that opportunity. If things keep under control as they are today, you can be sure that we will analyze continuously a potential opportunity as survey backs to return back a cash to our shareholders.
Operator: Our next question comes from the line of Luis de Toledo from Oddo. Please go ahead.
Luis de Toledo : Thanks for taking my questions. Most of them have been already addressed, but maybe just one regarding the blackout yesterday in Spain and Portugal. I don't know if you've done an initial assessment. Should we expect any impact in the second quarter? The second question is relating to FX hedging. You have in Brazil natural hedging. Looking at the assumptions on your guidance, I don't know if you're considering any additional hedging policy on FX on the area specifically. Thank you.
Raúl Gómez: Okay, thank you very much. Raul here. The first question, we were expecting this one, as you can imagine. Let me say first that so far today we are recovering normality in our affected industrial sites. Let me also say and remark that this extraordinary incident affected 45% of our production or industrial footprint. This is the five sites we have in Iberia, but the group is becoming bigger, more diversified, and that means that we are less impacted, less exposed to this type of extraordinary issues, even after this one was really extraordinary and unexpected. At the end, we have lost probably one day of production for 45% of our installed capacity. It could have been a serious issue for us, but most of our emergency protective facilities worked well yesterday, something that also helped us to keep on investing as we are doing, because the facilities that worked well yesterday were facilities that had been invested recently over this, let's say, intense CapEx period. And, okay, finally, you shouldn't be concerned about this in our specific case, and indeed, our guidance that we are publishing today for the year was calculated days before this issue and has not changed.
Iñigo Mendieta: And then, Luis, on your second question, FX, let's say, hedging policy in Brazil. As you know, we remain convinced on the fact that we are generating cash in Brazil, in Brazilian reals. We have debt in Brazilian reals, so we have a natural hedge in that sense. And obviously, we will have a translation effect into our consolidated accounts, into our consolidated numbers that should be inherent or natural to our exposure to Brazil, since acquisition of the report. Regarding the guidance or the assumptions behind the guidance, what we tried is to not make any assumption, okay? Our guidance is based on average exchange rates year-to-date. And this means that, we would like you to understand the, that the guidance could be met in local currency or at least that performance in the different regions could be in line or exceed guidance behind the final number. And then, we should also consider the impact of FX in the different regions.
Luis de Toledo : Thank you very much.
Operator: The next question comes from the line of Manuel Lorente from Santander. Please go ahead.
Manuel Lorente: Yes. Hello. Good afternoon. My first question is just a clarification. I believe that it was Inigo that mentioned that embedded on the full year guidance assumption was still a positive volume growth for the full year. Is that correct? And if that is the case, which is going to be the trigger of this improvement in volumes? It's market share gains from efficiency and improved demand? Thank you.
Raúl Gómez: Thank you, Manuel. So, yes, you were right. We are still expecting 2025, as I said before, to be a year of modest moving recovery, okay. We are not seeing significant reasons to be optimistic, and we are always talking about group level, okay. We expect to be, to see some volume growth at a group level, and probably more driven by Latin America, by Brazil, okay. Obviously, first quarter is not especially representative, in terms of seasonality. Again, it also has calendar effects this year, as always. So, probably by the end of April or by the first half results, we will have more visibility. But I can also anticipate that, when we look also or include April in, the figures we are seeing some modest recovery almost elsewhere, okay. We remain or the message remains similar to that issued at the start of the year that we shouldn't see volume decreases for the full year. Please also do not expect significant volume contribution positive contribution.
Manuel Lorente: I see. But in in any case, Q2 or the first week of Q2 validate a little bit this, let's say, improved volume strength.
Raúl Gómez: Probably, too soon to validate, but let's say that it's in the right direction.
Manuel Lorente: In the right direction. Okay. And just my final question. It is fair to say that, given the fact that, let's say, the open part of the energy headwind weighted more on the first half than in the second half. If natural gas prices remain at this level, you should benefit a little bit more on the second half than in the first half? That might help a little bit to offset potential, let's say, sticky softness in volume.
Raúl Gómez: Yes, so, as I said before, we are around 70% hedge for 2025 or the full year, let's say, but obviously hedging was slightly higher than that for the first quarter than for the remainder of the year. Okay, so we could benefit more in the remainder of the year if energy prices go down, but also please consider risk has two sides, so we could benefit more or even be more affected if energy -- if gas prices go up, okay?
Manuel Lorente: Okay. Got it. Thank you.
Operator: Our next question comes from the line of Bruno Bessa from CaixaBank. Please go ahead.
Bruno Bessa: Good afternoon. Two questions from my side. The first one, if you could provide a bit of color on the market share dynamics between the container class and other materials, particularly the aluminum? Again, a bit to understand if the container class is already recovering some market share lost over the recent years. Also, the price gap between the two materials, if it is already -- if the gap has already been closed in terms of pricing, so a bit to understand the dynamics between the two segments. And the second question on margins evolution, just trying to understand the dynamics in continental Europe and in Brazil, because after Q4 last year, that was strong in terms of margins for continental Europe, and you kept margins in Q1 above 30% in a quarter that in theory is not a seasonally strong quarter for continental Europe. So, what I'm trying to understand here is if the new normal for continental Europe is to have margins in the low 30s going forward, so this will be about continental Europe, and then a bit of the same about Brazil, because then we saw a relatively soft margin in Brazil in Q1. First, just trying to understand a bit why the margin came at 40.6% and significantly down year-on-year in Q1. And also looking a bit to the delivery of margins over the most recent quarters. We saw that last year the strongest quarter was Q1, and then afterwards, obviously also due to seasonality, but it seems like margins have been more in the range of 40%, which is pretty much what you did also in Q1. My question here is, do you feel that the margin improvement in Brazil, or the room for the margin improvement in Brazil is limited at this stage, and that this 40% threshold is difficult to improve much more from here, or there is something here that affected particularly Q1, and you believe that going forward margins could be higher in Brazil? Thank you very much.
Iñigo Mendieta: Okay, Bruno. Let's see if I can touch on all your points. So, regarding margins, especially in Iberia and Brazil, as far as I understood, okay. Probably the difference in those regions is also by differences, in terms of dynamics, in terms of prices and costs. Prices, as I said before, in all regions are down nearly 3%, 4%. In Brazil, are more in this range of 4%. In Iberia, it's slightly better than that in the range of 3%. And this is also a consequence of how costs are able to, performing in those two regions, okay. We are seeing better improvement in Iberia because of recent investments and because of change of our, let's say, footprint or realignment of our footprint, closing a furnace in Jordan, Northern Spain, and having more capacity in Brazil as Raul previously mentioned. And in Brazil, we are seeing still not, that, let's say, that benefits from, that we are seeing in Iberia, okay. Besides that, I would invite you to consider margins in a longer, let's say, term. We see structural margins of Iberia in the range of 28% to 32%, so we are more or less in the middle. We see margins in Brazil, also in the range of 40s as structural. But obviously, when we look at quarters and especially when we look at business units or segmental information that is quite specific because these are not big business units or big regions. It's Brazil, which is exclusively two plants. It's the UK and Ireland, which is exclusively another two plants plus the voting facility in Bristol. And it's Iberia, which is five plants, okay. So, probably our divisions are very small, and this means that when we look at quarterly performance, in some cases, small, let's say, effects can distort results, okay. Let's consider that we are more or less, in all our regions, probably excluding the UK, where this 21% for Q1 is still, can be still improved for a full year. Given that, we usually talk about the range of between 20% to 25% as structural in the UK. But let's say that in the rest of business units, we are quite at optimized levels, in terms of margins.
Bruno Bessa: Thank you, Inigo. I'm now taking about your first part of your question. You asked us about our vision, regarding the rise of metal cancer, meaning cans in our food and beverages packaging industry. We are monitoring more carefully this thing. It's very evident so far that a new metal cans has front has in some markets are against glass everywhere in the planet, particularly in well developed areas. This is probably the result of past inflationary pressures that has set that have affected relatively more the cost of manufacturing glass and the cost of manufacturing aluminum cans. And okay, the reality, and we should be aware of that, and we are aware of that, is that for these reasons, competitive reasons, our product has become less attractive than it was in the past for a number of our products, mostly focused on beer, on the beer segment and food and softening, sorry, segments. So, it's our job now to make our product attractive again for customers in these places because I'm sure that our customers, brand owners, owners, packagers, and us as consumers prefer glass as a packaging of choice. It's all a matter of cost competitiveness, and this is where we are putting all our focus. Following some of our previous questions and looking at the recent developments that we have seen in the macro context, natural gas prices going down in a moment when aluminium is going up is something that should be a good starting point to be confident of this optimistic vision.
Bruno Bessa: So just to follow up if I might, does that mean that further price declines should be expected next year for instance in order to increase that effectiveness of glass against aluminium? How do you think the price declines should be over this year?
Raúl Gómez: Well, that won't be the reason. We will keep on as we have done in the past adapting our prices to the real cost of manufacturing our products trying to maintain safe our margins to in order so we are able to keep on investing and creating a reliable future to become a supplier of choice for our customers. So, if the cost of manufacturing glass go down next year, if we keep on investing well gaining cost competitiveness that should be an opportunity for us to be aligned to the cost competitiveness of alternative materials like metal cans. And what I'm saying is I do feel optimistic that this is probably starting to happen. We'll see.
Operator: Next question comes from the line of Fraser Donlon from Berenberg. Please go ahead.
Fraser Donlon : So, I've got four. So, the first is just I was wondering if you could give a feedback on the EPR in the UK, kind of what your customers are saying about that. And a second part to that question, I know a few years ago you would announce with Diageo that you would kind of expand your capacity with them in the UK. So, is there any kind of update on that project? I know the times have maybe changed, but I just wanted to ask the question. The second question also linked to the UK, is it possible to kind of quantify if you expect any negative impact from the kind of higher social security costs for UK businesses as of April, whether that cost can be passed through with the contracts you mentioned to your customers in the UK? The third question, I'd just be interested to have your thoughts on kind of how tariffs in the U.S. may or may not change kind of the import export complex for glass globally. If there's less glass going from China to the U.S., is there a negative impact potentially for Europe or not, as you said? And then my final question, could you maybe answer what would be the kind of average age of the furnaces that you have within the group at the year-end of 2025 post this kind of CapEx, which you mentioned? Thank you very much.
Raúl Gómez: Okay, that's most of the questions regarding our UK business and reflecting the evidence that the UK industry, many industries in the UK are suffering a process of hyperregulation that could put at risk the future of the industry in the UK. In our specific case, I think that things are pretty much under control. You are seeing our numbers. In the UK, you are seeing our forecast, our guidance for this full year, and this guidance is calculated consistent with our expectations in the UK. Please take a look at our performance in our business, since we acquired and served and years ago are possibly, and okay, you will probably have a higher level of comfort, okay. Regarding EPR, this is a new example of an abnormal level of regulation, something that we rely, we trust will change, will be moderated in the future. We are trying to work well, particularly with our customers. Most of them are more impacted than we are. We do whatever we can to help administrations, politicians recover a reasonable level of common sense. But if not, our numbers and our margins are still under control and consistent with our guidance. Regarding the project, we had to better serve expanding capacity, one of our most steady customers, not only in the UK, globally, the name you mentioned. What we can say is that this project was based in serving them more products, a better cost, more competitively and reasonably quality service and products that are made more sustainably with a better level or improved level of sustainability, and we are doing the same. That don't need to be a particularly new investment exclusively dedicated to them, okay. What our customers need from us is for us to make our products and serve our services in the most competitive and sustainable way, and this is what we are doing in this specific case. And the last question, and another case of extensive regulation against the future of the UK industry, the case of social security, we are aware of that. The impact of this is fully captured in our guidance, and actually, we do have an expected process to increase our competitiveness in Encirc, reducing our cost that should fully offset the impacts of this and the other negative regulation that we are seeing so far. In conclusion, we probably feel today more confident that we were only a couple of months ago, regarding the future of Encirc, our UK business.
Iñigo Mendieta: Then, Fraser, on UST. So, it's difficult to be precise at this stage, as you can imagine, even the uncertainty around how and when they might be implemented. That's okay. That said, we have assessed the potential impact on the segments that could be most exposed, which is primarily wine, champagne, beer, and olive oil exports from Iberia and France. And based on our analysis, just to put, just to try to put some figures, we believe that the potential impact on group sales should not exceed 2% to 3%.
Raúl Gómez: Yes, starting on this phrase, we are aware of the fact that tariffs are dedicated out of time for you, your work. And we are analyzing all the potential impacts. Let me say that one thing looks like evident. The worst case for us, the worst impact is reasonably limited, understanding the domestic nature of our business in our three different core regions. And secondly, it looks like, I don't know where it will end, but it looks like this story, the tariff story will end differently than how it started, probably in more moderate circumstances. And the final question you asked us, this is a very good question about the average life usage of our facilities, particularly our pharmacies. Let me say without giving you a specific detail, because this is something that is very sensitive for our competitive position, that is significantly below average. So, we are investing more and better. This is giving us a result.
Operator: Next question comes from the line of [Indiscernible] from Bestinberg Securities. Please go ahead.
Unidentified Analyst: Just two questions. The first one is the measures that you announced in terms of capacity rationalization. So, what is your spare capacity in the different business regions, and how do you expect to evolve throughout the year? And secondly, also in the UK, I mean, we talk a lot of the sector of capacity in Southern Europe, but it seems that volumes in the UK are performing weaker than in Iberia. So, I would like to know your opinion about the mismatch between supply and demand in Iberia versus the UK. Do you think there is still a large difference in Iberia in terms of our supply, or is it tending to perform mostly without a big difference between those two business regions? Thank you very much.
Iñigo Mendieta: So, first one on capacity utilization. You can consider that during Q1, the group production capacity utilization was slightly above 90%, with capacity adjustments primarily focused on the Iberian Division and the UK and Brazil, both at levels near to full utilization. Anyway, we will continue to monitor demand, as you were mentioning, and we will maintain a disciplined inventory management in that sense. And in terms of your second question, as far as I understood, because the quality of the line was not especially good, maybe you can clarify if I am… Tell us.
Unidentified Analyst: The sector overcapacity. We talked a lot about the overcapacity in the south of Europe, in Iberia, but it seems that volumes in the sector are being weaker in the UK. So, I would like to know if you still foresee a large mismatch, in terms of supply and demand, between those two markets?
Inigo Mendieta: What we see -- Giga, thank you. Thank you for all the clarification. What we see is that, probably demand conditions are similar in both Continental Europe and the UK and Ireland. Probably in the UK, we are somehow different. So, we are more comfortable because of the visibility and the complementarity of the filling business, as you know, which is based on more or less stable volumes coming from outside Europe, remote regions, and this gives us visibility. But basically, I wouldn't give too much relevance to the volume performance in Q1, because first of all, the comparison basis in the UK last year was very high. As I said, volumes grew plus 10% in Q1, and this was not the case of Iberian. This is basically the main reason behind that.
Unidentified Analyst: Thank you, Iñigo.
Operator: There are no further questions by the telephone at this time. And I'll hand it back to Iñigo Mendieta, who will address questions submitted via the webcast.
Iñigo Mendieta: Thank you. So, we have received several questions via webcast on tariffs, on cans, on CapEx. I think all of them have been answered. If not, please do not hesitate to contact us after the call. But there is one that we haven't still answered. And it's based on the potential implications for the European glass industry of the French competition authority investigation. And also, if we foresee a potential risk of that investigation extended into an EU context.
Raúl Gómez: Thank you, Inigo. And yes, we have asked for information under the terms of this investigation. There is nothing more that we should add so far, but just to secure that we will help provide any needed information under the terms of this process. And let me remind you that this is a quite competitive context industry. And in our particular case, a relevant portion of our sales volumes are dictated by long-term supply agreements with prices calculated the following specific formulas. So, we'll help out providing any needed information, and we'll keep you updated in case any relevance happens.
Unai Alvarez: We have now addressed all the questions submitted via webcast. If you have any additional queries or request for the clarification on any point, please don't hesitate to reach out to us. We are always happy to assist. That concludes today's session. Thank you for your time and attention.